Operator: Good day and welcome to the Marrone Bio Innovations' Second Quarter 2017 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Linda Moore, General Counsel. Please go ahead.
Linda Moore: Good afternoon, everyone, and thank you for joining our call. Before beginning, I would like to remind you that this conference call may contain statements regarding management's expectations, hopes, beliefs, intentions, or strategies regarding the future, as well as projections, forecasts, or other characterizations of future events or circumstances. Such statements are based on management's current expectations and beliefs concerning future developments and their potential effects on the Company. There can be no assurance that future developments affecting the Company will be those that management has anticipated. Such statements involve a number of risks and uncertainties, some of which are beyond management's control or other assumptions that may cause actual results or performance to be materially different from those expressed or implied by these statements. Important factors that could cause differences are contained in reports filed by the Company with the Securities and Exchange Commission, including under the heading Risk Factors and elsewhere in the Company's Annual Report on Form 10-K for the 2016 fiscal year and the Company's Form 10-Q to be filed for the second quarter of 2017 and in our earnings release posted on the company's website. Should one or more of these risks or uncertainties materialize or should any of management's assumptions prove incorrect, actual results may vary in material respects from those discussed today. Additionally, the Company will be making reference to certain non-GAAP financial measures on this call. The reconciliation of these non-GAAP measures to the most directly comparable GAAP measures can be found in the Company's earnings press release published today, which is posted on the Company's Investor Relations website. Any guidance that management may offer on this conference call represents a point-in-time estimate. The Company expressly disclaims any obligation to revise or update any guidance or other forward-looking statements to reflect events or circumstances that may arise after the date of this call. After our remarks, we will answer your questions. Now, I will turn the call over to our Chief Executive Officer, Pam Marrone. Pam?
Pamela Marrone: Thank you, Linda. Good afternoon and thank you to everyone for joining us. With me today is Jim Boyd, our Chief Financial Officer; and as you just heard Linda Moore, our General Counsel. We've continued our steadfast progress in the second quarter of 2017, and despite some challenges, such as unfavorable weather that reduced the number of sprays typically observed and expected across all of our product line, we managed to grow shipments by 36.1% to $5.7 million, and GAAP revenue by 28.3% to $6.5 million. This marks 7 consecutive quarters of consistent year-over-year growth and solid progress. In the first half of 2017, we grew product shipments to $12.1 million, a 50.6% increase over the first half of 2016. Similarly, GAAP revenues in the first half of the year grew to $10.6 million, a 37.7% increase over the prior-year period. So we've built on our momentum, establishing 2016, and continue to enjoy above industry average growth for our entire product portfolio. Our efforts to grow revenues in all areas, from existing products to new products, as well as strategic partnerships here in the United States and internationally, are paying off. Our broad-based growth is due to our portfolio approach to product development, which promotes significant opportunity for each of our products. We believe our brand tagline, Marrone on the acre, which we to continue to leverage and expand successfully, reflects our focus on addressing under market need through biological solutions. But before going further, for those of you who may be new to Marrone Bio Innovations, I would like to take a moment to discuss who we are, what we do, why we are innovation leaders and why it's so very important. Put simply, we develop natural products, commonly called biologicals, for controlling pests and increasing crop yield and quality. Our products are all biologically based and fall into 2 categories under the umbrella of biologicals: 1, bio-pesticide for crop protection; and 2, bio-stimulants for crop enhancement. There are many benefits to growers who implement biologicals as part of their Integrated Pest Management programs, or IPM, whether they are organic, transitioning to organic, or conventional, and spray our product in a tank mix, just like you would with chemicals. Although our products are often used by organic farmers, conventional farmers who use synthetic chemicals actually account for around 70% of our sales today. So why is that? Well, the benefits are significant, our products can make pest management more effective than programs that use only synthetic chemical pesticides. Implementing biologicals as part of an IPM program, growers can improve deals and quality of their crops, creating a higher return on investment. Pest-resistant, a common problem with synthetic chemicals, is reduced or eliminated, again, increasing return on investment. Our products also do not harm the beneficial such as these: Our products are natural and biodegradable, offering environmentally friendly protection; biologicals are generally safe for field workers to handle, so farmers can manage their labor more efficiently as work crews can enter the field more quickly after spraying; biologicals don't leave residues as synthetic chemicals do, which is particularly important for branded food, retail and export markets with very strict MRL, or maximum residue level standard, which have become the industry norm. Aside from the significant benefits to the growers, there are also major benefits to us as a company, in producing these biological products. Our technology and science-based approach has led the way to mainstreaming biologicals. Biologicals have a much lower development cost and time-to-market than a synthetic chemical. As a comparison, synthetic chemicals cost, on average, close to $300 million to develop and also take about 12 years to enter the market. For a bio-pesticide, often developed by smaller companies, there is a different capital-light model applied. Today, biologicals cost less than $10 million to develop, and with experienced biological companies like MBI, only take about 4 years to enter the U.S. market. Therefore, in our experienced hand, biologicals can get into the market quickly with early adopter growers who are entrepreneurial and seek new market opportunities. These leading-edge growers give us feedback that in turn helps us shape consecutive versions and associated new uses of the product, which in turn expands the market opportunity. A global pesticide market is massive, totaling about $55 billion today, and is growing at a compound annual growth rate of about 2%. The newly emerging biological market itself is much smaller, around $3 billion, but it is growing at a compound annual growth rate of about 17%. The bio-stimulant market, which MBI entered this year with Haven, is growing at about 12% to 15% annually. Marrone Bio is significantly outpacing both of these markets. Organic is the highest growth segment in food, and there simply are not enough acres to meet the demand. Currently, we are particularly strong in high-value crops such as berries, leafy greens and grapes. However, a large opportunity exists for us to further penetrate other specialty crops, as well as large row crop, such as corn and soybeans, through partnerships with larger players. The size of these opportunities and the partnerships we are building to enter the row crop sector are groundbreaking, compelling and growing. With that, I'll turn the presentation back to the quarter and discuss some of the highlights of the niche product category. As I noted in my opening remarks, we continue to grow in the second quarter, despite a challenging environment. A very wet spring affected the sprays this year all round and cold wet weather in the Pacific Northwest further affected the potato sprays, truncating the application season. The year-over-year sales decline for a peer group of our comps was about 1.7% this quarter, compared to the 36.1% growth in product shipments we experienced. So again, we're still significantly outpacing the overall industry. While our overall company headcount remains flat, to further drive sales, we created a new sales territory and hired a territory manager to cover the Southwest, including California's Imperial Valley, Arizona, New Mexico and Texas. We currently have 5 EPA-approved commercial products and 1 biostimulant product on the market. All of these products, as well as other pipeline products are protected by a strong patent portfolio of over 400 issued and pending patents covering microorganism, national product chemistry, mixtures, formulations and new uses and new pests. Our intellectual property is critical to our business and is industry-leading. We do not know of anyone else that has commercialized as many new active ingredients in such a short period of time. I'd now like to touch on each products specifically. Note that our international strategy is to first focus on countries with intense pesticide sprays and export markets where we can get registrations quickly, while we wait for registration in larger regions such as Europe and Brazil. Regalia, the first MBI product to enter the market, is the industry's first effective plant-extracted fungicide and it now has become the recognized standard for biological control of powdery mildew, a major crop disease. This year, Regalia is now being sold into the row crops market as Regalia RX through our partner Koch Agronomic Services, marketed as a plant help or biostimulant product that significantly increases yields and enhances quality on multiple crops. Year-over-year, Regalia experienced more than 50% volume growth in California, more than 40% volume growth in the Pacific Northwest, more than 70% volume growth in Florida, and more than 80% in the Great Lakes in Northeast. In the second quarter, EPA approved a new Regalia 5% master label, which captures new uses for row crops for Regalia Rx, such as cotton, forage grasses, peanuts, as well as some cereal grains and sugar beets. The new label also has small container sizes and easier use instructions for crops related to home and garden uses, as well as cannabis and hemp production, where authorized by state government. Looking at overseas growth and milestones, key highlights are as follows: Regalia, MBI shipped Reysana to Morocco for use by growers on tomatoes, grapes and cucurbits. Reysana is Regalia's brand name in certain countries and contains the same ingredients as Regalia, which is now marketed and sold in more than 10 countries worldwide. In Central America trials, the addition of Regalia enhanced existing industry programs for controlling coffee rust. Coffee rust causes $1 billion annually in damage to coffee plants across Latin America and the Caribbean. In Asia, Regalia is advancing in banana trials in the Philippines, showing good activity against Black Sigatoka, the most serious disease this crop faces globally. In previous trials in Costa Rica, Regalia, combined with the standard chemical program, increased banana yield by 27%, compared to the standard chemical program alone. Conventional sprays for this disease are 15% to 24% of the cost of bananas at $1,000 per hectare, with 25 to 40 sprays per season. In Vietnam, MBI's distribution partner has completed initial trials with Regalia, showing a 25% increase in rice yield and a concurrent reduction in discolored and unfilled grain caused by rice neck blast disease. Also in Vietnam, Regalia decreased bacterial canker in citrus trials by more than 70%. Now turning to Grandevo. Grandevo continues to expand its uses in IPM programs across many fruits and vegetables. This product experienced more than 20% volume growth year-over-year in California. Grandevo is gaining momentum in IPM programs against the dreaded Spotted Wing Drosophila. In insecticide trials in Vietnam, Regalia performed under intense pest pressure, reducing pest populations for control of red mites, thrips and mealybugs on strawberry, pumpkin, custard apple, oranges and dragon fruit. We remain on track to bring the granulation of Grandevo for Grandevo WDG in-house in the fourth quarter. I recently visited our Bangor, Michigan plant to see their work in progress. We also have plans for a packaging line, which we think will improve margins. Our Davis R&D team has developed improved fermentation and granulation processes that can be implemented in the short and medium-term that also have the potential to reduce Grandevo cost of goods by more than 50%. Venerate, our second insecticide, which controls a wide spectrum of pest, insects and mites, with a novel but different mode of action than Grandevo experienced more than 150% volume growth in California, close to 40% in Oregon, 400% volume growth in the Southeast, and new usage in the Carolinas. We also saw first sales of our large pack size for infertile soil treatment. In South Africa, a key agricultural market that relies on exports to the EU, both Grandevo and Venerate bio-insecticides have generated positive trial results in citrus. MBI products reduced citrus mite populations more than 96% and offer fruit a comparable level of protection as commonly used chemical products. Both Grandevo and Venerate provided effective control of citrus fruit damage caused by false codling moth. This pest bores into the citrus fruit, making them unmarketable. In Mexico, both Grandevo and Venerate bio-insecticides have demonstrated effective and reliable control of the Asian citrus psyllid, or ACP, a serious pest that transmits citrus HLB disease. Field trial data supporting the use of these 2 MBI-developed insecticides to control ACP is now being submitted to support label amendments, adding ACP control to existing Grandevo and Venerate registration and labels in Mexico. Note, both products are already registered in the U.S. for key citrus states for ACP, and we have data from Florida, showing that biological solutions that included Grandevo and Venerate in an organic-only IPM program, or in a Grandevo or Venerate rotation with chemicals, can reduce ACP populations as effectively as the chemical-only programs. ACP has devastated Florida grove and has been recently found in California. Venerate bio-insecticide used in IPM programs for managing the dreaded coffee berry borer, or Broca, successfully reduced the number of organophosphate insecticide applications, including that of the controversial and increasingly restricted chlorpyrifos by 50% in Central American trials. This program with Venerate reduced boring damage by almost 70%, and was 40% more effective than the chemical-only program. Broca can cause coffee farmers to lose up to 20% of a crop and reduce the crop's marketable price by 30% to 40%. Now turning to Majestene Bionematicide. Majestene controls roundworms, or nematodes, that feed on the roots of plants and destroy crop yields. Majestene volumes grew by more than 180% year-over-year. In trials in Central America, Majestene reduced burrowing nematode, the most significant pest of bananas, as well as are better than the organic organophosphate chlorpyrifos. The burrowing nematode destroys the roots of bananas and plantains, so that the plants are starved of water, nutrients and lack support, causing a 30% to 60% yield loss. The use of Majestene to control nematodes would be a major step forward in reducing exposure risks to pesticide applicators as well. Now onto R&D advancement. The Davis R&D team has already developed a prototype next-generation Majestene product that substantially amps up nematocidal activity and reduces the field application rate, while increasing growth margin for MBI. They are working to rapidly scale this exciting new process. Haven is our first non-pesticidal product and is an extract of coconut oil. This product is a sunscreen for crops, reducing sun stress and water loss. We successfully scaled up, manufactured and shipped product in the first and second quarters, targeting crops such as apples, onions and grapes. To fill the grower demand for this product, we had to manufacture approximately 10x more product than we expected. In blackberries, a crop new to Haven, the product did a great job reducing sun damage. And finally, Zequanox, the industry's only biological solution for invasive mussels and the only low-risk product registered by the EPA for open water use. We've continued working with large companies for both open water and pipe treatment. As discussed last quarter, we received a grant from the Great Lakes Restoration Initiative, which is administrated through the EPA, to do some work in the Great Lakes region for a project called the Round Lake Restoration Project. In early August, we hosted an information fair at North Central Michigan College in Petoskey, Michigan. The fair highlighted the recent completion of the Round Lake Native Mussel Restoration Research Project, which included applications of Zequanox. There are a significant number of lakes with invasive mussels in the Great Lakes area. And more states are being affected all the time, as these invasive mussels often enter new bodies of water by attaching themselves to boats. The large scale of this global problem could provide rather notable future revenue potential for MBI. As part of the Round Lake Restoration project - Project, Zequanox was applied in open water to evaluate new application methods against zebra and quagga mussels, as well as the stability to protect native freshwater mussels and other native of aquatic species. The zebra and quagga mussel treatment market is being developed through partnerships with larger companies to help with the distribution for industrial pipe uses and open water treatment. We also have a pipeline of potential opportunities over the near-term, which I'd like to briefly touch on. First, our MBI-601 product, branded Ennoble, is a bio-fumigant that is already EPA-approved. We are currently finishing up collecting data from our 2016 California False field trials on strawberries across with the most critical needs for alternative to toxic chemical fumigants. We look forward to announcing the results which thus far show comparable or better marketable yields than the chemical fumigant, which is under increased regulatory pressure for use reduction or elimination in many regions. MBI-601 also showed good results against the virulent (inaudible) in celery. We are ramping up the ability to manufacture this project - product at larger scale for a small targeted commercial release in the fourth quarter of 2017. Another product in our pipeline is MBI-110, branded Stargus, for specialty crops and amplitude for row crops. 110 controls difficult plant diseases such as white mold, downy mildews and Botrytis gray mold, where there are fewer alternatives. We are on track for EPA registration in the second half of this year, which will be followed by a targeted commercial release. MBI-014, formerly known as 010, is one of our bio-herbicide development and it is on track for EPA submission later this year. This product addresses the #1 need of organic farming controlling weeds. This product continues to show exciting results against difficult weeds such as the scourge, palmer amaranth, lambsquarter and waterhemp that are resistant to glyphosate and other chemical herbicides. In addition, we have combined 014 with glyphosate, known commercially as Roundup, and shown the ability to kill weed that would not be killed by glyphosate alone because they have developed resistance to glyphosate. The Davis MBI R&D team has done an excellent job of developing high-yield, economical fermentation processes and a granular formulation for MBI-014. I'd also like to highlight our growth in the rapidly growing cannabis industry. MBI's products are impacting cannabis production, through the reduction of toxic chemicals and pesticide residues that are harmful to both the environment and to consumers. Additionally, the intensity of cannabis production requires heavier use of inputs relative to traditional agriculture, increasing the urgency for growers to switch from toxic chemicals to biologicals. Recently, MBI's products have been added to cannabis-approved listing by several states that have permitted the sale of cannabis and hemp for either medicinal, food, fiber and adult uses. We continue to work directly with states to ensure universal approvals where cannabis and hemp productions are legal. To provide some scale of the market opportunity, a recent study we commissioned from UC Davis Graduate School of Management estimated the cannabis market in just Colorado, Oregon and Washington to be currently $91 million. This study estimates that this pesticide and fertilizer inputs market, including California, due to recent changes in legislation, will grow to $1.4 billion within the next 5 years. Worth noting, we have sales through a distributor who targets the cannabis market, and that distributor is now one of our top 5 customers. They saw potential of our products for powdery mildew to try spray mold and mites, and the growers have been non-stop in chat rooms and walk-ins on our customer service line and calling our sales team asking for our product and technical support. Regalia, Venerate and Grandevo are now sold on Amazon. Our small pack project team continues to drive forward packaging and labels in smaller sizes more appropriate for cannabis and home gardeners where we have pent-up demand. In conjunction with our internally developed products, we have also become a master distributor for 2 companies, Isagro and Jet Harvest Solutions, and this quarter, their products contributed modestly to our revenue. In May, we announced an agreement with Jet Harvest Solutions to be the master distributor for Jet-Ag, their organic agricultural sanitizer, which controls disease-causing bacteria and fungi. Many farmers already use this product, and Jet-Ag is an excellent tank mix product that combines well with our biofungicide, Regalia, and soon, our second biofungicide MBI-110. We're excited to market a coordinated regime of Grandevo, Venerate and Jet-Ag as an effective solution in the fight against the ongoing invasion of the dreaded Spotted Wing Drosophila. Similarly, we are a master distributor of Isagro's Bio-tam 2.0. Our local California trials show promising efficacy in celery, lettuce and strawberry. We also have a number of trials and demos for grapevine trunk disease, one of the worst, if not the worst, great diseases in California and worldwide. Before going further, I would like now to turn the call over to Jim, to go through the numbers and provide additional detail on our financial performance. Afterwards, I'll walk you through some of our other strategic initiatives for the remainder of the year before wrapping the call up with Q&A. Jim?
James Boyd: Thank you, Pam. Good afternoon, everyone. I'd like to walk you through our solid second quarter results. We reported GAAP revenue in the second quarter of $6.5 million, up 28.3% compared to $5 million in the second quarter of last year. Our revenues in the second quarter were negatively impacted due to cold wet weather in key growing areas, which contributed to an absence of pest and a delayed planting season. Product revenue growth was led by Majestene, then Venerate, Regalia and finally, Grandevo. Sales from Haven launch and contributions from Bio-tam and Jet-Ag altogether were slow - small, rather, but helped results. Revenue for the first half of 2017 grew 38% to $10.6 million, compared to $7.7 million in the first half of 2016. Product shipments for the second quarter were $5.7 million, up 36.1% compared to $4.2 million in the second quarter of last year. Product shipments for the first half of 2017 increased 50.6% to $12.1 million, compared to $8.1 million in the first half of 2016. We believe this continued growth illustrates the strength and momentum in our business. Although, product shipments were affected by weather this quarter, our first half was strong and we believe we are well-positioned for ongoing growth opportunities. Our product experienced good growth year-over-year. For example, as Pam mentioned, Majestene's volumes grew 180% year-over-year and 63% quarter-over-quarter. Our new formulation of Grandevo WDG was supply constraint in the second quarter, which is why we are currently installing our granulation line at our Michigan plant. We are expected to be in production of Grandevo WDG later this year. As a reminder, our GAAP revenue recognition policy requires us to defer some revenue to certain customers on the sell-through revenue recognition method. We do not grant any return rights to these customers and deferred revenues are recognized over time. Cash is collected under normal terms, exactly the same as with our sell-in customers, and is not affected by this revenue recognition methodology. Now returning to GAAP reporting. Our gross margin in the quarter was 38.8%, an increase compared to the 38.2% gross margin for the second quarter of last year. Gross margins decreased sequentially, primarily due to higher sales mix of one of our lower margin products. Operating expenses increased year-over-year from $6.8 million to $7.9 million, included in our $7.9 million of operating expenses are approximately $1.7 million of non-cash expenses. SG&A in the second quarter increased to $5.1 million, compared to $4.5 million in the same period last year. The increase from last year was largely due to one-time expenses, including consulting and legal fees, our implementation of an Oracle cloud ERP system and the purchase of an electronic data information system, giving us access to data and grower purchases of our products. R&D cost in the second quarter were $2.9 million, also up relative to $2.3 million in the same quarter of last year, approximately $300,000 of this increase was in field trial expenses, giving us valuable data to enter new markets. We remain intensely focused on managing our operating expenses. We expect our operating expenses to remain flat, which we consider sufficient to support our high growth. Now turning to the balance sheet. Inventory at the end of the second quarter was $8.4 million, as compared to $8 million last year, which we consider adequate to address near-term demand. At the end of the second quarter, we reported total cash and cash equivalents of $13.2 million, including restricted cash of $3 million. This cash balance includes net proceeds from our last offering of approximately $8.2 million, as well as borrowings under our $7 million working capital line. Our year-to-date 6-month cash usage from operations was $9.8 million, or an average of $4.9 million per quarter. The $9.8 million represents a 27.4% decrease when compared to the $13.5 million of cash used from operations in the first half of 2016. Second quarter 2017 cash usage from operations was $2.3 million versus $3.8 million for the second quarter of 2018 - 2016 rather, a 40.4% decrease. I'd now like to turn the call back to Pam for a discussion on some of our initiatives for the remainder of the year.
Operator: [Operator Instructions] We'll take a question from Sameer Joshi with H.C. Wainwright.
Sameer Joshi: So my first question relates to the R&D effort and increasing your gross margin. Will you be able to quantify what those gross margin improvements are?
Pamela Marrone: In the future? I think we will. Like I mentioned in the script, we have a new drying process with Grandevo that reduces the cost of drying by 40%. We have a 4x improvement in potency of the fermentation of Grandevo. And that certainly would translate to gross margin but I didn't say exactly how much. And the Majestene, 50-fold improvement of the nematicidal activity. It will definitely increase gross margin but I haven't quantified that yet.
Sameer Joshi: Okay. So the next question is about the Michigan facility. I know you are going to improve the packaging, the drying and fermentation tank. What is the time line for this? And what is the additional CapEx required?
James Boyd: Actually, the CapEx is rather modest, a few hundred thousand dollars. We'll be adding granulation for WDG. We'll be adding a packaging line and automated fill line.
Pamela Marrone: And the Regalia mix tank.
James Boyd: We're increasing Regalia capability in the plant to handle increased design. That's about it for the first phase.
Pamela Marrone: And the time line, as I mentioned in the call, for the Grandevo granulation will be...
James Boyd: Before the end of the year.
Pamela Marrone: Before the end of the year, yes.
James Boyd: And beyond that, we're studying further increases in the plant that would have for us actually have to expand the building. And we'll probably do that as we get more heavily into Venerate and Majestene production. I'd like to add that those capital expenditures that we're planning in the near term, at least through the balance of this year, will all come from the restricted cash, the loan that we - the guaranteed loan by the USDA that we got last year.
Sameer Joshi: Understood. Just one last one from me. For the Zequanox, were you looking for a U.S. partnership for distribution? What is the status on that?
Pamela Marrone: Yes, we are. And yes, we've mentioned that a number of times. And it's going well. So we are in a draft distribution agreement at this time. And they've been absorbing some of our treatments in power plants. So we're aiming to finish that off.
Operator: We'll take our next question from Tyler Etten with Piper Jaffray.
Tyler Etten: I had a couple of questions here. When we're talking about product shipments being up 56% year-over-year, obviously a nice milestone. I was wondering if you could split out the differences between penetration in previous regions and what shipments are going into the new regions.
Pamela Marrone: Okay. So we have continued strong growth in all of our regions. But we've been in California the longest. And despite being in California the longest, we're still increasing quite dramatically in California. Pacific Northwest, we've seen dramatic growth. I would say we had salespeople in the Southeast. So the hiring of the salespeople in the Southeast was not until like April or May of last year. So now we're just starting to see - I mean, it usually takes some time to see the effect of having the people in place. And so now we're seeing the dramatic contribution of those guys being hired in the Southeast. So we also added last year, if you recall, a person to Michigan. And that Great Lakes region is turning out to be a really nice - he's doing a great job. It's going to been a really nice territory for us because of the high amount of fruit and potatoes and other - and vegetables production there, which has a really great fit for something like Haven. We saw beautiful control of bitter pit, which is beyond just sunscreen. It's actually a really good quality thing with Haven, and so the apple growers there are really keen on using it. And we've got - we just keep continuing to get really good results from our grower demos there.
Tyler Etten: Got it. That's helpful. And I mean, over the last, I would say, years, so you've really revamped the sales team in advance into these newer regions such as the Southeast and Michigan. Not that it sounds rushed or anything, but are there any other regions that you have identified that you would like to get these products into as you gain traction in these established regions?
Pamela Marrone: Yes. As I mentioned in the call, the [Fresno] person we have, it's tough for him to serve the whole Arizona, New Mexico, Texas, Imperial Valley market. So we did add a sales rep this quarter, wasn't it? And so that's one we expanded into. At some point, we'll look to address the mid-Atlantic and expand eastward at some point into Eastern Washington, Idaho, where we have a good fit for whole foods and more potatoes and such.
James Boyd: I think we're expecting good growth out of the Southeast, especially in the spring or fall.
Pamela Marrone: Yes, we are, yes. So we're not going add a lot of salespeople. But we're - as our - as progress comes on, we may add a couple more.
James Boyd: Don't forget international.
Pamela Marrone: International. We do - well, we have a very small international team. And our strategy with international is continue to use our distributors to do the bulk of the work internationally. So they pay for the - they do the field trials and do - and then often submit the registration, and we support them with that.
Tyler Etten: Excellent. Maybe sticking to the subject of distributors, I was wondering how the Jet Harvest Solutions is expected to fit into the distribution model. And I know Jim said, it didn't significantly impact this quarter. But do you expect this addition to significantly impact future quarters?
Pamela Marrone: Well, we hope so. It's a good product. And it's a category, the sanitizer category where Regalia is preventative and MBI-110 is preventative where this one is a little more curative where you can zap the leaves and it will reduce it even if some of the disease is there. So it's a nice one-two punch. And this category of the sanitizer is pretty well known by growers. And so as our sales team meets with growers, so we - being the master distributor, we sell to our distribution channels who then sell to growers. So it's adding a layer in there, but it's - because we don't have all the R&D cost and we get it fully, the products fully - packaged - developed and packaged. It's still a good business for MBI.
James Boyd: We see efficiencies of being able to send more products down the same sales channel.
Pamela Marrone: Exactly, exactly, yes. Continue to broaden the suite of products and have more products contributing to that sales. It really derisks the business model.
Tyler Etten: Excellent, yes. That's helpful. I guess just one more from me. An interesting comment you made about registering on Amazon. I was wondering if you had done any research about the retail market and what's potential of the products that you have could - or what the potential would be when you sell into - in a smaller form and not to these commercial - the traditional commercial customers.
Pamela Marrone: Well, I have experience in this market because in my past life, I actually got the first organically listed product into Walmart stores in the garden section. And the fungicide category, which was - that product is actually a small category, so we have products that fit the largest category, which is insect control, bugs is what homeowners want to control. And so we have continual questions and - I mean, requests from homeowners, and they certainly don't want to buy 1 and 1 gallon quantities. So we - the home and garden market is quite large, although the markup is more by the companies in that. So the good portion of the margin into the home and garden market is taken by the ScottsMiracle-Gro and those types of people or the retailer - and the retailers. But it still could be a nice contributor to revenue based on my experience and not just stores but also through catalogs, online. We have - in my past life, we had a significant amount of sales through even just online catalogs, the garden catalogs. So it's not - we don't have the - we have to focus our resources and be mindful of really focusing and executing on our plan. So it's a nice upside. We actually have not even forecast anything much in the business for that, but it's a great upside for us in the future.
Operator: [Operator Instructions] We'll next go to Robert Smith with Center for Performance Investing.
Robert Smith: So Pam, could you characterize the results of the Great Lakes study? In other words, this is an open water study. How can you put a framework around this? I mean, what is the opportunity?
Pamela Marrone: Yes, yes. So we have already treated lakes with Zequanox. So we know that works. So this was less about does it work on mussels. We already proved that in a lake. It was more about how to apply it because in the past treatments, it was - we would put barriers down, what are called water curtains. And so then that was to keep the Zequanox in the mussel area. And this one was without these barriers. It was right out there in the open water. And we got some beautiful drone footage, and we can actually see from the drone footage, tracking where the product went. So because Zequanox is slow kill, it kills a few over a month period, we'll know in about 30 days whether this application method, which was without the water curtains on much larger scale, and how - and if that application method works. So we're optimistic and we'll see. But lake treatments right now, there's nothing really useful for lake treatment. So this is the beginning of the test of how we can reduce the mussel population in the Great Lakes contributories and other lakes because they have done such - the mussels have done such devastation to the ecosystem and native mussel populations, which is why we have this partnership. It is about consumers walking on the beaches and cutting their feet, but it's actually really about saving space - saving native species as well.
Robert Smith: So is this application methodology, does work? I mean, you said within 30 days and kind of have a handle on? What's the next step? How do you take this to the banks so to speak?
Pamela Marrone: I think that we'll then start looking at finding partners. We can't - since we're focused on our ag business, we can't do this on our own. So we do have companies that treat for algae and weeds and aquatic weeds, and they know how to go out in boats and deliver products. In that case, it would be more like chemicals and dust to control weeds analogy. And so we have a number of possibilities for partners to help broaden and expand it into other lakes. We get a lot...
Robert Smith: Are these prospective partners awaiting the results of this trial?
Pamela Marrone: No. It's not dependent on that. So it's in parallel. We can go out to private lakes with other partners.
Robert Smith: Can you put a dollar value on the opportunity?
Pamela Marrone: We haven't said that. Because nothing is used for native - nothing is used for invasive zebra and quagga mussels right now in lakes, so we have done the math and said okay, how many lakes are infested, what would a shoreline treatment - can't treat the whole lake as Zequanox right now is too expensive, but what would a shoreline treatment be in cost and revenue to MBI. We've done that math. So we'll see.
Robert Smith: Can you share that?
Pamela Marrone: No. I haven't - we haven't actually put out a number on that.
Robert Smith: All right. I'm about to move on to the cannabis market. So you mentioned some numbers, $91 million going to $1.4 billion in 5 years. So what is your target within those numbers? I mean, the $1.4 billion, what do you have a shot at?
Pamela Marrone: So that $1.4 billion includes the pesticide and fertilizer market. So we - because right now, we have one major distributor and they've become our top 5 distributor, when setting up more distributers into that market and as it becomes legal in other areas, it can be a significant - we haven't - again, we haven't guided to a quantification of what we can do but it could be a significant driver. But we have actually included it once again as compared - like the home and garden as an upside to our plan. So we're not dependent on the cannabis market for our growth. We're executing just well and growing very well in our target crops, our 6 target specialty crops. And so the cannabis makes a really nice upside.
Robert Smith: So just moving on to MBI-014. So how is this redesignated? Was it a significant improvement in product from 010?
Pamela Marrone: Hence, the name. Yes, exactly. So they had versions 12, 13 and so - yes. So they decided that because it was such a significant improvement that they wanted - they really needed to give it a codename from the original - new codename from the original, yes, dramatic improvement in herbicidal potency and reduction of cost. And the reduction of the amount of pounds per acre is around between a 10- and 20-fold reduction in poundage per acre. It's really very exciting, what our R&D has done with this product.
Robert Smith: So what do you feel the opportunity is with that product?
Pamela Marrone: Well, we have said in the past, this is - the herbicide market - so if you have a $55 billion chemical pesticide market, 40% of that total global pesticide market is herbicide. So 40% of $55 billion is a very large opportunity. I estimate that the organic market in the - is about a $100 million opportunity in the U.S. So it's smaller but easier to get and then large chemical opportunity. So it over time becomes probably one of our largest opportunities.
Robert Smith: And any time line on that?
Pamela Marrone: Well, we're submitting to EPA. We hope to before the end of the year, if all goes well, in the late fourth quarter. And then it takes about 18 months for approval. There are growers who are - would love to get it on an emergency use basis and sooner. So if we have the opportunity, we'll try to have the growers petition for a faster track. We'll see, but we're planning for '19 launch.
Robert Smith: Okay. And the roundup controversy framework, I mean, especially in California, what is your view on that?
Pamela Marrone: I'll let the regulators deal with that. It's just - I don't comment on things like that. It's too controversial. But I do know that it's - I just focus on the - there's a significant market opportunity with an unmet need there for this product, 014.
Robert Smith: Okay. And if you were take a shot, what might be a breakout product for you guys?
Pamela Marrone: That one. That one.
Robert Smith: That one. Okay. And so during the call today, you went over the product lines and there were very handsome percentage increases, I assume, from lower number so to speak.
Pamela Marrone: Yes, coming from a small base, yes.
Robert Smith: Yes. So with new products entering the market pretty much on a regular basis, looking out a couple of years, 2, 3 years or something, so what might growth rates be like? It seems that you really could grow the company very, very significantly.
James Boyd: Well, I - we agree.
Pamela Marrone: We agree.
James Boyd: We agree. We have always characterized the company as a high-growth opportunity. And especially when we're coming from a small absolute number, we think the percentages can be quite high.
Robert Smith: So in other words, you're running at 50 and then you drop down to maybe 25, 30 because of weather conditions, this and that. But at some point in the future, with these products each contributing, I mean, it's - there really are little excuses so to speak for a much higher growth rate.
Pamela Marrone: So the strategy, as you mentioned, is a portfolio approach, yes. So it's no - although I think 014 could be a significant product, we're characterizing - we have all of our products growing in parallel. So there's no - it's not a blockbuster drug strategy. At the same time, as we get international registrations, international does become a driver of growth in the longer term - the medium to longer term. So all the parallel - in parallel, growth efforts, getting into more uses, more sprays on the acre, more crops, new uses of our existing products, launching new products and international growth, all, we believe, contributes to significant growth. And I would say we're modelling growth the way we - kind of the way - yes, it could be substantially higher, but we're modelling it in a way that we have seen.
James Boyd: We're modelling it the way we believe it will grow.
Pamela Marrone: The way it will grow, yes.
James Boyd: Yes. We have our own belief. We believe in the company. We believe in the products. We think there's a bright future ahead.
Operator: And we'll take a question from Michael Brcic with National Securities.
Michael Brcic: I have 2 quick with questions. One is on the weather delays in this last quarter. Does that - is there any spillover into the next quarter? Or has that just gone until next year?
Pamela Marrone: A little bit of both. Some spillover and some gone, yes, because the Pacific Northwest, right, some of them are sub-truncated. They could only get out 1 spray instead of 2 or 3, and that's lost. And then others, the bugs picked up and then moved out into the next quarter.
Michael Brcic: Great. Finally, can we talk about when and maybe what revenue levels we're talking about to get to cash flow breakeven?
Pamela Marrone: I know someone's going to ask that. All right.
James Boyd: Let's focus on EBITDA breakeven. And I think we had operating expenses of $6.8 million last quarter. We mentioned that we had several non-recurring type of expenses or special projects, if you will. Let's just call that $0.5 million. So you're looking at $6 million, $6.25 million in terms of operating expenses. I always just think of the company as 50% margins. And if you do that, you just double that revenue to get to a breakeven revenue figure - or product shipments rather, figure. And we think that we can do that in a reasonable amount of time.
Pamela Marrone: Yes, yes. We got back out stock comp, yes.
James Boyd: Just let me add and point out that when I talk about EBITDA, I am excluding stock comp.
Michael Brcic: Right. So a reasonable amount of time, is that within 4 quarters, 2 quarters, 8 quarters?
James Boyd: Well, I think we've talked about in the earlier questions that we see ourselves as a high-growth company. We're not going to make any projections.
Operator: That concludes today's question-and-answer session. At this time, I'll turn the conference over to Pam Marrone, for any additional or closing remarks.
Pamela Marrone: Thank you. In closing, I want to thank each of you for joining us today. We will be conducting several roadshows and attending conferences on both coasts in the second half of 2017. So if you're interested in a meeting, please contact our management of our IR firm, MZ Group, to arrange. We look forward to updating you on our progress as we move forward with a number of key initiatives to build shareholder value over the long term. Thank you.
Operator: That concludes today's conference, and thank you for your participation.